Operator: Good day, and welcome to the Hubbell Incorporated First Quarter 2014 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Jim Farrell. Please go ahead, sir.
Jim Farrell: Good morning, everyone, and thank you for joining us. I’m here today with our President and Chief Executive Officer, Dave Nord; and our Chief Financial Officer, Bill Sperry. Hubbell announced its first quarter results for 2014 this morning. The press release and earnings slide materials have been posted to the Investors section of our website at www.hubbell.com. Please note that our comments this morning may include statements related to the expected future results of our company and are, therefore, forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Therefore, please note the discussion of forward-looking statements in our press release and consider it incorporated by reference into this call. In addition, comments may also include some non-GAAP financial measures. Those measures are reconciled to the comparable GAAP measures and are included in the press release and the earnings slide materials. We know that today is a busy day for a lot of you folks with a lot of earnings today. So, we’re mindful of that. And we also have just a quarter to report on here. So, we’re going to hold today’s call to a 45-minute limit. So, with that, let me turn it over to Dave.
Dave Nord: Okay, great, thanks Jim. Welcome everybody. We’re pleased to report our first quarter results for 2014. You’ve seen the report out, we’re reporting sales up 3% and earnings per diluted share of $1.8. Tough stats for the year as you recall, we talk about with weather in January and February. So, we’re particularly pleased to be able to report finishing the quarter with sales up 3%. I think we saw things start to improve in March, at least getting to levels that we had originally expected, certainly not enough to recover all of what fell behind in January and February but certainly very good direction. And I think Bill will talk a little bit later about where we’re seeing that going in April and the rest of the year. You see we also had the margin expansion of 60 basis points to 13.8%, see that’s a little bit higher than we’re forecasting for the year. Half of that 60 basis points is coming from the benefit of some lower facility consolidation costs. But the other half, I’m very pleased with a 30-basis point margin improvement in the first quarter, particularly considering the headwinds that we faced in January and February. We also see that we’re reporting another couple of acquisitions that closed in April, one in the lighting business that’s strengthening our offering in some key verticals and one in the power business which is a natural extension of our bushings and switching. These investments have been a result of really the investments that we’ve been talking about we’ve been making in the resources for both people and processes that are allowing us to close five deals so far this year. From a market standpoint, we’ll talk a little bit more about it in detail later. But I think the tone in some of our markets seems to be improving, although it’s a little bit early. I was out last week at the IEEE convention with a lot of power and utility folks. And I was encouraged with what was generally a more upbeat tone that I think we’ve seen in that market. But again, it’s a little early. And I think on the recognition side, our Power Systems business, one item of note was recently awarded the 2013 Operational and Technological Excellence Award by Border States, which is one of Hubbell’s largest distributors and particularly one of our Power Systems’ largest distributors. That is a very distinguished award that Border States presents to a supplier, it acknowledges supplier to provide innovate state of the art business practices and quality services. So all-in-all, I’m happy with how the quarter finished despite a tough start to the year. Let me turn it over to Bill, and he can take you through some of the details of the quarter.
Bill Sperry: Thanks, Dave. Good morning everybody, thanks for joining us today. I’m starting on page 3 of the materials that Jim referenced. And I’ll use those materials to comment this morning. So sales up 3% with acquisitions driving 4 points of that growth. FX being minus 1 leads to very flat end-markets that we experienced in the first quarter. As Dave said, that January and February contributions to that were significant. I do think interestingly points out the strength of our business model where we are trying to invest in acquisitions. And as Dave said, for us to be able to get five close now on the first four months of the year is a pretty good level of activity for us. The OP margin reached 13.8% in the first quarter that was up 60 basis points. And that’s a 7% increase over prior year, which I’ll refer to that number couple of times just to compare it to EPS where we had some below the operating line some derogatory things. So you see EPS of a dollar rate, that’s about 2% negative compared to last year. And we had taxes at about $0.09 headwind and we’ll talk more about that later in the presentation. On page 4, we break out our end markets for you. Again you see that they were net-net flat, where new construction, non-res was flat, a positive driver from reno and relight. Although our experience with reno and relight is lumpiness. It’s driven by some large national accounts in there. On the industrial side, extractive industries which is served by our harsh and hazardous business, by flat Hubbell test equipment showing some negative markets in the first quarter. Utility side, both D&T markets quite flat. As Dave said, we’re hoping that we’re hearing and seeing good signs that we may be seeing some up-ticks in those. On the resi, we’re – we split that compositing to single-family, multi-family and really big box reno, all three of those drivers were positive so the broad-based growth comment. So, flat though net end markets, on the acquisition side which really provided our growth, it’s worth commenting that we had five deals contributing to the incremental sales this quarter, two of them in the Power segment, two of them in the Electrical Systems business and one in Lighting, so good breadth across our portfolio there of our investing activity. Page 5, you see our gross margins widened by a healthy 40 basis points to 32.3%. As Dave commented, some of that being driven by kind of one-time aid from lower facility consolidation cost, those were resolved last year of an acquisition in our Power Systems business that gave us the opportunity to do a facility consolidation. On the S&A side, you see that a 20-basis point improvement to 18.5% of sales. The dollar increase you see there of a couple million really driven by the new acquisitions versus that basis point improvement driven by some cost consciousness we’re trying to be aware of the fact that the weather was hurting some of the construction markets in particular. Page 6, we net those effects out to show operating profit improvement to 13.8% or $105 million, 60-basis point improvement in terms of margin contributions, obviously both from gross and S&A. And if you looked at price and materials that was slightly – slight headwind versus productivity inflation, productivity, that was the real contributor to the quarter. On page 7, I would kind of go below the line if you will. And total other non-operating expense you see, couple of million dollar increase there. That’s really typically comprised of our net interest expense which hangs in typically around $7.5 million a quarter. But in the first quarter ‘13, we had some foreign exchange gains, this quarter some foreign exchange losses. So those create the deviation around that net interest and creates little headwind for the quarter. Tax rate is where you see significant amount of headwinds. This year, we have no R&D credit in our rate versus last year, we had both the first quarter of 2013 but we also had all four quarters of 2012 recognized in the first quarter, and some of the provisions of the law it didn’t pass until January so, creating a little distortion in the tax rate in terms of comparison. Page 8, net income you see at $64 million for the first quarter, 3% decline. And EPS at $1.8 2% decline moderated little from the net income decline based on the fact that we bought about 100,000 shares in the first quarter. On page 9, I will switch to our discussion of the electrical segment. You see that we recorded sales of approximately $539 million, 5% increase. Again, same story as the whole company that’s really driven by acquisitions of 4 points. Second best contributor to the quarter was Lighting. And within Lighting, residential was the strong area, more so for us than C&I. The negative weather really impacting a lot of the construction markets are commercial construction markets within electrical being hurt in particular. On the performance side, you see a 60-basis point improvement and operating profits of 12.6%, $68 million 11% improvement, really a productivity story. Often we’d like to give you some Lighting statistics to just a sense of the quarter. We had adoption rate of about 33% of our first quarter Lighting sales, where LED and skewed strongly from the C&I side, resi adoption rate being much lower than that. On page 10, we transition to the Power segment discussion. We see $221 million of sales, 2% decline from the prior year. When you take acquisitions of plus 2, netting out price and FX effects, you see that our organic markets were down to more distribution and transmission, more flat, the weather really affecting our civil construction business within Power. On the performance side, you see operating profit of $36.7 million, 50-basis point improvement to 16.6% margin. The productivity story as I mentioned, facility consolidation was in the Power segment. But good productivity on their side, the result of some good CapEx spending and project management that our Power people have been doing, focusing on profitability. Page 11, we’ve got our cash flow. And you see that very comparable cash flow statement to last year’s first quarter. Our sales last year were up 2%, this year up 3%, so 1 point better but relatively comparable investments in working capital and CapEx. And historically, our weakest quarter in terms of cash flow. But we’re still planning to try to target one time net income for the full year. On page 12, we show trade working capital as a percentage of sales. And you see that first quarter number breaching the 20% level, driven by higher inventory. One of the distortions that we get here is the fact that we’re including acquired working capital, not just the cash flow changes in those accounts. And so, you can get as we’re being inquisitive, we can see some upward pressure on this number. But inventory continues to be an area of focus for us, as we try to balance customer service against the need to be as efficient as possible with our production. Page 13, we’ve got our capital structure. You see cash accounts coming down from December, the yearend number to this quarter’s ending number of $647 million. Remember, we spent about $100 million on acquisitions, early in January. And since this number has been printed at $647 million, we’ve invested another $50 million in the two deals that Dave mentioned. So $150 million invested year-to-date first four months in our new acquisitions. Debt to cap of 24%, obviously balance sheet position to continue that investment. So, Dave, I’m going to pass it back to Dave now to talk about our end-market outlook and our financial outlook for the rest of the year.
Dave Nord: Okay, thanks Bill. So, on Page 14, talk a little bit about our end-markets. And I’ll start on the largest of our end-markets, non-residential. And we’re still looking at that market overall growing 3% to 4%. That’s consistent with how we’ve seen it so far this year. I think all of our market assumptions are still being influenced by the challenging start to the year. And while things have started to recover, it’s a little early to make any major adjustments but certainly we see some dynamics within the markets that may end up resulting in some upside going forward on the non-residential construction. Little bit more bidding activity, particularly on new construction, which – we like to see, we’ve been relying a lot on the renovation retrofit energy efficiency in that market. On the industrial side, we’re looking at continued 2% to 3% growth I think on the harsh and hazardous element of that, we can have a bit more stability and improvement on the mining side. I think when we last talked, we thought that would be forecasting has to be negative, looks like maybe that will move to something flat. On the flip side though, on the high voltage, we talked about that occasionally and I know there is a lot of interest out there. We had been anticipating and we thought that we’re going to start to see some improvement in that particularly as we exited the year. That market serves both the OEM transformer business which wasn’t really part of the growth side of it, as well as the utility side and testing transformers. But that market is particularly biased toward emerging markets and that’s where we’re seeing a little more volatility than we expected. So we’re not sure that we’re seeing that we’d be exiting the year as strong as we thought. So we think that will probably end up being more of a flat market this year, improving, but not improving at the rate that we thought. On the utility side, we’re still looking at that and forecasting that at a flat basis. But as I mentioned, I think the tone in that market has improved a little bit. We often get the question around the impact of the winter weather on us and did we have any storm implication. And if you think about the weather this year, there was a lot of snow, lot of cold, lot of inconvenience. And so if you were a fuel supplier, that was good for you. If you were maintaining furnace controls, it was good for you. But our business that’s tied particularly to the impacts of wind and ice-storms, we can see that. However, what we do think is occurring is the utility certainly had the meter spinning to supply the power, the heat in that cold weather. And that’s providing some incremental revenue generation to that important customer base that we think is allowing their spending particularly on the OEM side of the business to improve. Again, little early, but we think there are some signs that that could be improving as the year goes on. And lastly, on the residential side, always been a good part of the growth element of our markets. And we think that’s going to continue. Certainly we see the forecast around multi-family and the renovation side consistent. I think on the single-family there is a little bit more caution as you see some of the statistics come out and as we get feedback from our key customer base, the National Home Builders, still positive, still be around 10%, as an overall market growth. But as I mentioned in the past, where we might have been conservative in our estimates at 10%, I think the 10% now from a market standpoint we feel is pretty reliable. So, all of that when you put it together is going to come up to an overall market growth of 2% to 3%. Please look at that, turn the page and look at that by segment. On the Power side, we’re looking at 3% growth for the segment, most of that coming from the acquisitions that have been completed. And on the Electrical side, overall growth including the market growth of 6% to 7% with acquisitions contributing 4% so, an overall 5% to 6% sales increase. Operating margin, we’re still looking at margin expansion of 20 to 30 basis points that includes what we’ve talked about continually and I think Bill mentioned even in the first quarter, the implication of some of the new acquisitions and some of the margin drag that occurs early on, which we size at about 20 basis points. So, our core business still, targeting to improve margins 40 to 50 basis points. And the tax rate, we’re still assuming that R&D does not get reinstated and so we’ve got a tax rate of 32.5%. So, we’re happy that we got through the first quarter it’s on to the rest of the year. And we’re optimistic that with the trends improving that we’ll be on track to deliver on our expectations. So, with that, let me turn it back to Jim, if you want to field (ph) some questions.
Jim Farrell: Okay, Aaron. Let’s open it up to the participants here.
Operator: (Operator Instructions). And we’ll go first to Christopher Glynn with Oppenheimer.
Christopher Glynn – Oppenheimer: Thanks. Good morning. So you mentioned five deals closed this year so far. I’m just wondering what those processes have been like, the pricing, the competition, negotiations versus auction?
Bill Sperry: Chris, the price paid collectively for those five is just right around the neighborhood of seven times, which is fits reasonably well with our historical experience. The processes have been a mix of some competitive and some where we happen to know the owners and the owners had been looking for kind of partnership solutions to their ownership. And so, I’d say it’s a balance of those. So, very reflective, typical of how we’re pursuing our business development situations.
Christopher Glynn – Oppenheimer: Okay. And then I was wondering if we’re talking about deals of this size on average that you’ve seen so far, is there a number of bolt-ons that if you get to kind of maxes out your ability to absorb them in a year?
Bill Sperry: We haven’t found that number yet Chris, we’ve – as Dave mentioned earlier and as we’ve talked about – we have invested in terms of adding people. Our process has been refined over the last five years or so. Our integration playbook is more systematized. So, I’d say it’s easier for us now. And if we had a couple at the same time, we’ve proven we can do that. Now to I think the constraint is not necessarily just raw number but I think you couldn’t have the same operating manager, the same operating team doing two at a time.
Dave Nord: Yes, so I think Chris, to add to that I think if you looked across our three platforms, the diversity that we would deal with is, in our Electrical Systems platform, a lot of different businesses, a lot of different general managers and if you look at the businesses that we’ve been acquiring there, it’s really been across those different businesses. So, any individual business leader probably has a limit of one or two in the year. And that’s kind of how we look at it. So they will tend to be more in the Electrical Systems, on the Power Systems side that’s going to be kind of a balance between the number of business leaders there. And in Lighting, Lighting hasn’t been acquisitive over the last few years. So I think their capabilities and resources are more sensitive to these transactions. And so, we go a little slower there. So, I think very simply, you wouldn’t see us doing three or four or five Lighting deals this year.
Christopher Glynn – Oppenheimer: Okay. And then, if I could bounce a paraphrase of your market’s outlook off of you. It sounds like the net of guidance update is you see upside potential emerging for non-res, and utility we’ll wait and see and then the res guide the hedge component probably removed. Is that fair?
Dave Nord: Yes, I think that’s right. I think that’s right. I think, in all cases the challenge is things are moving in the right direction other than the residential single-family being a little bit soft. We’re in the market very regularly and docking with investors. And our practice is to the extent that we have a little bit more basis, we’ll adjust our outlook. And right now it’s just a little early.
Christopher Glynn – Oppenheimer: Great, okay. And then, last one. I got on a little late and may have missed, but wondering if – what were the year-over-year growth rates through February and then in March?
Dave Nord: Our order rates, we started the year down 6% on our core business. February was still down 1% to 2% and March turned back up 3% to 4%. So, you can see even within the quarter, we didn’t recover all of the January and February shortfall.
Christopher Glynn – Oppenheimer: Right. And do you think that was any catch up or more revert to underlying demand?
Dave Nord: In March, that’s the question. We think, certainly some of that has to be attributable to bit of a catch-up. And that’s I think the recovery from the first two months, it’s going to be extended, well into the second quarter and maybe even into the third quarter to get that catch-up going, so.
Christopher Glynn – Oppenheimer: Thanks a lot, Dave.
Dave Nord: Okay.
Operator: We’ll go next to Rich Kwas with Wells Fargo Securities.
Rich Kwas – Wells Fargo Securities: Hi. Good morning, everyone.
Dave Nord: Good morning, Rich.
Rich Kwas – Wells Fargo Securities: So on the margin outlook, do I have this right? It looks like you upgraded the organic margin outlook for the year. I know you got 20 basis points of dilution from acquisition, but it looks like the organic margin expansion is 40 to 50 versus 30 to 40 previously, is that right?
Dave Nord: Yes, I think we’re putting up 60 in the first quarter, I don’t think you would let us get away with 40.
Rich Kwas – Wells Fargo Securities: All right, yes, I just wanted to make sure because I know there is usually some level of conservatism incorporated into the numbers.
Dave Nord: That’s one, I mean, Rich, I mean, that’s the one area pricing certainly being volatile but that’s the one area that we focus a lot on in our operations to make sure that we’re at least managing the things that we can control as well as we can’t. So, it doesn’t mean we’re absolutely sure. But we have pretty good visibility into our processes around productivity and efficiency. And then presuming that the market holds and that we’re at least able to recover what we need to in price, okay.
Rich Kwas – Wells Fargo Securities: Okay, understood. And then on price cost, I guess that was slightly negative in the quarter. Is the assumption still that’s neutral for the year?
Bill Sperry: Yes, essentially yes. But we’re in a very benign commodity side, the material side Rich is pretty muted right now in terms of how much it’s moving. And price is similarly not big swings either way. So, we’ll assume that two of those will offset each other. So, when we’re trying to get our pick-up is have productivity do better than inflation.
Rich Kwas – Wells Fargo Securities: Okay. And then just following up on Chris’s – one of Chris’s questions, which I’ll take a different approach, if you look at utility, I know Dave you’re hesitant to get incrementally positive formally on utility at this point. But if you look at high volt kind of flattish utility potential for upside, you look at those two in isolation though net-net if utility does come through, and that’s a net positive to the guide potentially later this year. Is that the right way to look at it just because a bigger size, etcetera?
Dave Nord: Yes, that’s right.
Bill Sperry: The only thing I would say to Rich on that is, just remember we got to make up for our minus 2 for us to get to the flat outlook right. So, we need basically the markets to get better for us to get to our guide.
Rich Kwas – Wells Fargo Securities: Right, right, understood. And then lastly, just Bill, do you have those Lighting splits in terms of the growth in resi and then C&I for lighting, I know you said resi was the better grower this quarter?
Bill Sperry: Yes, so, our resi was in double-digits. And our C&I was at the low-end of mid-single-digits.
Rich Kwas – Wells Fargo Securities: Okay. And that’s part of the potential catch up here as we move through Q2, Q3 with construction season underway right?
Bill Sperry: Yes, I think the construction the weather in those first two months was particularly hard here, including resi. So, that’s where it was important to have some of the reno side of resi doing well to think it’s happening. And I do think that you guys are characterizing that right, little bit of catch up and now it’s time to see how the second quarter unfolds and how much – how that affects the rest of the year.
Rich Kwas – Wells Fargo Securities: Okay, great. Thank you. I’ll pass it on.
Operator: We’ll go next to Steve Tusa with JPMorgan.
Steve Tusa – JPMorgan: Hi, guys.
Dave Nord: Hi, Steve.
Bill Sperry: Hi Steve.
Steve Tusa – JPMorgan: So just on the M&A front, I think you guys have a new guy in the power business who’s kind of working on this stuff. Can you just talk about – are there any, what are kind of the headline incentives for a guy like that, I mean, is he – does he get paid regardless of what deals get done or is there kind of a target that he gets paid for? And I guess this is just kind of a reflection I guess on just trying to understand how you guys are approaching this across your business. But given where the T&D Show last week, I think that kind jumped out meeting with him?
Bill Sperry: Yes, so I think it’s a good question Steve. You’re talking specifically about Bill Tolley, who had formerly been the President of our Power Systems business. And Dave promoted him to come join us here at corporate with a title of Growth and Innovation. And yes, his compensation does depend specifically on his performance. But I think the more powerful driver is that we’ve established strategic objectives for our entire operating team around incentives for finding and closing acquisitions, because I think we’re finding that that’s important that be kind of grass-roots. I think what we’ve learned is it’s not just two or three of us caring a lot about it. It involves having folks out there looking every day. As Dave mentioned, we’re at IEEE last week and you want essentially all your business units matters to be walking around trade shows like that, thinking about which of these companies would be good add-ons. And where would the fit be good and to be building relationships there is. So we have, yes we’ve created incentives at the senior level. But I think maybe more importantly we’ve pushed that down so that everybody is focused on it.
Steve Tusa – JPMorgan: Right. And then I guess just on the T&D trends, I’m not sure if you talked about this if you did, just we could move on. But is this – is there a little bit of recovery in the second half of the year, and so you get the kind of flat on the year, are you seeing any kind of movement in the budgeting process there. I mean, any kind of signs of a pick-up from what is – based on very kind of flat and stable environment?
Dave Nord: Well, I think that we certainly saw recovery beginning in March and April that on the positive side, there is always a question of how much of that was recovery from things that didn’t get done in January and February. But I think the tone at the conference and the tone with some customers is that things were a little bit better there is a little bit more electric utilization, that’s generating some revenue. We’ve said all along and I think Gerben said, back in our meeting in February that there is work that needs to be done, it’s just funding it and when the electric use is down that makes for a tough model. So, the good news is when the meters are spinning, there is little bit more revenue to support the model in a positive way. But it remains to be seen we’re not – it’s too early to draw the conclusion on the improvement in margin in April, so.
Steve Tusa – JPMorgan: Right. And I’m sorry, one last question. I think you said March was kind of mid-single-digit upwards for the company. What was non-resi, but how was non-resi that kind of sequential performance in non-resi, the non-resi side?
Bill Sperry: Yes, I mean, non-res is holding its own okay. If you look into April orders as well, I think you do see a little of the strength and power that Dave’s describing. And I think you’d kind of call out power and I agree with Dave, it’s early, right. You’re only sort of 13 operating days really into April. But you are seeing the strength there which is, at this stage, encouraging us to tell you guys we think we can make up the minus 2 points to get to flat.
Steve Tusa – JPMorgan: Anything up double-digit? Anything up that strong, double-digit or still single-digits?
Bill Sperry: Yes, resi continues to show the greatest strength around that double-digit mark. I think in non-res, I think maybe Steve, a lot of people are waiting for the hockey stick. And I think maybe here in Hubbell management not even talking about hockey stick but that could single – mid single-digit kind of growth rate and kind of sustainable. And that would be good news for our business model. But we’re not here planning for that double-digit non-res right now.
Steve Tusa – JPMorgan: Great. Thanks for the color. I appreciate it.
Bill Sperry: Okay.
Operator: And we’ll take our next question from Jeff Sprague with Vertical Research Partners.
Jeff Sprague – Vertical Research Partners: Thank you gents, good morning.
Dave Nord: Good morning, Jeff.
Jeff Sprague – Vertical Research Partners: Good morning, just coming back on a couple of other items. On Lighting, can you give us a little color on what it is you actually bought here in April, was it technology, was it a fixture company, I don’t want to drill too far and what might be a small deal. But just kind of interested in where you’re headed?
Bill Sperry: Yes, the company, its name is Light Control Jeff. It’s located up in Massachusetts. They’ve got a great brand, it’s a fixture manufacturer. They’ve got great facility, great team, great reputation on the customer service and quick turnaround, they’ve got some strength in a couple of verticals. So, it’s a real good add-on for our C&I business. And we’re real pleased to have them join us.
Jeff Sprague – Vertical Research Partners: Is the part of some verticals you weren’t particularly strong in historically?
Bill Sperry: Yes, I think it strengthens our presence in those verticals yes. And it builds out some brand strength and gives us some opportunity to compete collectively and provide greater breadths to our agents and our customers that I think is going to be proved to be important.
Jeff Sprague – Vertical Research Partners: The name controls – the word controls in the name, but it sounds like it’s not a controls company though?
Bill Sperry: Not specifically, no.
Jeff Sprague – Vertical Research Partners: Yes. And then just back on margins, they did look encouraging, I’d kind of thought they might see some pressure just on the scramble to catch up from the weather and expedited shipping and other things. I’m assuming some of that went on and you offset it. Can you just kind of address what if any type of fire drill, you did need to have in the quarter and what kind of impact that might have had?
Bill Sperry: Yes, I wouldn’t describe it as a fire drill but I would say that as a senior management team, we were focused on cost controls. And I think our facility is kept operating so you did see some investment in inventory. We’re hoping that we need that to go out the door here early in the second quarter. But I wouldn’t describe it as a fire drill as much as just trying to be very mindful. I do think we were helped by the fact that we had kind of one time facility cost, not repeat this quarter this quarter that kind of made an easier compare that maybe inflates that number a little bit Jeff in terms of what’s sustainable run rate improvement.
Jeff Sprague – Vertical Research Partners: And you’re just pricing overall but do you expect to be able to kind of recover back to neutral and in the power market or is that likely to run negative over the course of the year?
Bill Sperry: Yes, Power specifically is proving to be competitive. And I think that we’ll try hard, we’ll try hard to get back to neutral there. But it has been a little bit of a headwind.
Jeff Sprague – Vertical Research Partners: Okay, great. All right, guys, thank you.
Operator: We’ll take our final question from Brent Thielman with DA Davidson.
Brent Thielman – DA Davidson: Hi, good morning guys.
Dave Nord: Good morning.
Brent Thielman – DA Davidson: Just on that last comment Bill, that the unfavorable pricing in power, could you kind of characterize that getting any better or worse relative to what you’ve seen in prior quarters?
Bill Sperry: Yes, I think that what we’ve been seeing is – if you had a transmission project, that was going to be a fairly competitively bid, the larger the kind of the project the more competition and probably the more price competitive that bid would be. And so, we’re finding it to be yes, I think price competitive is the only way you can describe kind of the Power Systems business for the last several quarters. And what we’re expecting going forward.
Brent Thielman – DA Davidson: Okay, fair enough. And then, should we see comparisons related to sort of Sandy restoration get a little easier here going forward or restart some of that indicates you from a year-over-year perspective?
Bill Sperry: No, I think the bulk of it would have been found finishing towards – in towards Q1. So, I think your statement is right.
Brent Thielman – DA Davidson: Okay. And then just lastly the comments around non-res bid activity getting a little better. I mean, do you look at relative to kind of coming off this slow start to the year or is the general pipeline looking a little more robust relative to prior years?
Dave Nord: That’s one of those – it’s too early to tell because there was so much that was being held up in the first couple of months that – or we think you drive around and you can see a lot more activity going on. That’s the market assessment that we’re often making and you probably are as well so.
Brent Thielman – DA Davidson: Okay, great. Thanks guys.
Operator: This will conclude today’s question-and-answer portion of the call. I’d like to turn the conference back to management for any additional or closing remarks.
Jim Farrell: Okay. Well, thank you again everyone for joining us today. I know it was a busy day. I’m certain around the rest of the day. Should anyone have any follow-up questions, and if not we’ll chat again at one of the several conferences we have in May. So, thanks again for joining us.
Operator: This does conclude today’s conference. We thank you for your participation.